Operator: Good day, and welcome to the NewMarket Corporation's scheduled conference call and webcast to review the Third Quarter 2024 Financial Results. At this time, all participants are in a listen-only mode. I would now like to turn the call over to your host, Bill Skrobacz. Floor is yours.
Bill Skrobacz: Thank you, Kelly, and thanks to everyone for joining me this afternoon. As a reminder, some of the statements made during this conference call may be forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and in our SEC filings, including our most recent Form 10-K. During this call, I will also discuss the non-GAAP financial measures included in our earnings release. The earnings release, which can be found on our website, includes a reconciliation of the non-GAAP financial measures to the comparable GAAP financial measures. We filed our 10-Q this morning. It contains significantly more details on the operations and performance of our company. Please take time to review it. I will be referring to the data that was included in last night's earnings release. Net income for the third quarter of 2024 was $132 million, or $13.79 per share, compared to net income of $111 million, or $11.60 per share, for the same period last year. Petroleum additives sales for the third quarter of 2024 were $663 million compared to $664 million for the same period in 2023. Petroleum additives operating profit for the third quarter of 2024 was $157 million compared to $140 million for the third quarter of 2023. The increase in petroleum additives operating profit was mainly due to lower raw material and operating costs, partially offset by lower selling prices. We remain pleased with the strong performance of our petroleum additives business during the first 9 months of 2024. We continue to see the favorable results of our ongoing focus on margin management. Managing our operating cost, our inventory levels and our portfolio profitability will remain priorities throughout 2024. We completed the acquisition of American Pacific Corp., AMPAC, on January 16, 2024. We report the financial results of our AMPAC business since the date of acquisition in our specialty materials segment. Specialty materials sales were $59 million for the third quarter of 2024 and $114 million for the first 9 months of 2024. Specialty Materials operating profit for the third quarter and first 9 months of 2024 were $16 million. The specialty materials third quarter and first 9 months 2024 results reflect the sale of AMPAC finished goods inventory that we acquired at closing. The acquired inventory was recorded at fair value on the acquisition date and was sold during the first 9 months of 2024, generating no margin. We expect to see substantial variation in quarterly results for AMPAC due to the nature of its business, and we anticipate full year 2024 results to be consistent with our preacquisition expectations. Our operations produced strong cash flows during the quarter. We paid dividends of $24 million and funded capital expenditures of $14 million. Since the AMPAC acquisition, we have made net payments of $259 million on our revolving credit facility. As of September 30, 2024, our net debt-to-EBITDA ratio was 1.4, which is slightly below our target operating range of 1.5 to 2. For 2024, we expect to see capital expenditures in the $50 million to $70 million range. We want to thank our dedicated employees for their hard work in welcoming and integrating AMPAC into our family of companies. Our team continues to make decisions to promote long-term value for our shareholders and customers and remain focused on our long-term objectives. We believe the fundamentals of how we run our business, a long-term view, safety-first culture, customer-focused solutions, technology-driven product offerings and world-class supply chain capability, will continue to be beneficial for all our stakeholders. Thank you for joining me for the call today. Kelly, that concludes our planned comments. We are available for questions via e-mail or by phone. So please feel free to contact me directly. Thank you all again, and we will talk to you next quarter.
Operator: